Operator: Please standby, we’re about to begin. Thank you for standing by. Welcome to the Golden Entertainment First Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal remarks. Please note that this conference call is being recorded today May 5, 2016. I will now turn the call over to the company’s Investor Relations Contact, Jacques Cornet with ICR.
Jacques Cornet: Thank you, operator, and good afternoon. By now everyone should have access to our first quarter 2016 earnings release, which can be found on the Company website at www.goldenent.com, under the Investors section. Before we begin our formal remarks, we need to remind everyone that the discussion today will include forward-looking statements within the meaning of the federal securities laws. These forward-looking statements, which are usually defined by the use of words such as will, expect, believe, anticipate, should, or other similar phrases, are not guarantees of future performance. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from our forward-looking statements and therefore you should exercise caution in interpreting and relying on them. We refer all of you to the risk factors in our recent SEC filings, including our most recent Form 10-K as updated by our subsequent quarterly reports on Form 10-Q, for a more detailed discussion of the risks that could impact of future operating results and financial condition and other forward-looking statements. During today's call, we will discuss non-GAAP financial measures, which management uses and believes are useful in evaluating the Company's operating performance. Financial results before August 2015 did not include the results of Sartini Gaming. Sartini Gaming was merged with a subsidiary of the Company on July 31, 2015 and its financial results were included beginning in August. Because of the merger, management believes it is helpful to provide comparisons on an unaudited, combined basis where the results of the Company are combined with the pre-merger results of Sartini Gaming for the relevant periods. We have provided that information in the press release issued earlier today. The combined presentation does not conform to GAAP or the SEC's rules for pro forma presentation. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our first quarter 2016 earnings release. Hosting the call today, we have Blake Sartini, who serves as Chairman of the Board, President, Chief Executive Officer of the Company; and Matt Flandermeyer, who serves as Executive Vice President and Chief Financial Officer of the Company. Management will provide prepared remarks after which we will open the call to questions. With that I'll turn the call over to Blake Sartini.
Blake Sartini: Thanks, Jacques, and good afternoon. We appreciate everyone joining us and welcome you to our first quarter call. We had a very productive quarter on several fronts. First in our consolidated operations, we started the year strong in both our distributed gaming and casino segments. In both segments, we posted double-digit increases and adjusted EBITDA compared to combined results for the prior year period. For the quarter, net revenues were $91 million, up 7.4% compared to the combined net revenues from a year ago. Adjusted EBITDA for the quarter was $10.5 million, up 14.5% compared for the combined adjusted EBITDA for the prior year quarter. Looking at our segment results in distributed gaming, we saw net revenues increased 11.2% compared to combined results for the prior year period. Segment adjusted EBITDA was up 10.7%, which included strong same-store results. Our first Montana acquisition closed on January 29 and we have included the Montana operating results after that date and our consolidated financials for the quarter ended March 31, 2016. In our branded tavern business, our wholly-owned locations posted another strong quarter. Same-store net revenues in the taverns increased approximately 9.5% versus the combined results for the prior year period, once again indicative of our unique business model and the brand strength in Southern Nevada. During the quarter, we successfully opened our first brewery concept, PT's Brewing Company, and the initial results are encouraging. Subsequent to quarter-end, we opened our 15th PT’s gold location in Henderson, Nevada, and we are assumed to opening our 50th tavern location here in late May. With two openings under our belt this year, we remain on track to add four more new tavern locations in the Las Vegas Valley before year-end. Turning to our Casino segment, during the quarter, the properties continued to perform as expected. At Rocky Gap, we completed a new live table game area just in time for the New Year's holiday week. The area increased our total table game count from 16 to 19. We are seeing increased table game demand and revenue into 2016 as a result of these additional games. As of today, we are partially complete with the addition of 168 new parking spaces to our current parking inventory, which includes three Tesla electric charging stations. As we have mentioned in the past, the motto for this project was parking constrains as historically we have experienced parking shortages on certain dates including weekends, holidays and special events. At times we have opted to forego additional special events as a result of this insufficient capacity. We have opened part of the new parking lot and expect that the remaining spaces to be opened by Memorial Day weekend. We expect a 30% the 40% return on our invested capital going forward. Our Rocky Gap hotel initiative is continuing with the remodeling of several rooms and suites within the hotel. The goal remains to get our test rooms remodeled, give the final approval to the design and amenity packages and then provide a detailed phased hotel remodel program going forward. We look at Rocky Gap is having significant upside opportunity. As we have discussed in the past, the device count can flex up to 1,500 gaming devices while adding an unlimited number of table games and we can add an additional 200 hotel rooms supplementing the current 200 room inventory. We also continue to consider additional food and beverage, retail and entertainment options. We are still in the initial planning stages of these components of the overall master plan and will provide more visibility and impact estimates as we move forward. In our Pahrump, Nevada casinos, given the operating environment, we remain focused on operating efficiencies and margin improvement. In March despite a decline in revenue, we equipped to combine adjusted EBITDA for these properties for the prior year period. During the quarter, we opened a new state-of-the-art sports book. The sports book is operated by William Hill and is the largest and most modern in the Pahrump, Nevada market. Additionally, we rolled out a new player in retail reward system using market leading technology, featuring a one card solution enabling all guests to earn rewards across all three Pahrump properties: the Pahrump Nugget, Gold Town and Lakeside Casinos. These projects disrupted our operations somewhat during the first quarter, most significantly in February. In addition, several other capital improvement projects for our Nevada Casinos are underway to enhance our properties and customer experience including the addition of several dining and beverage options, which will debut this summer at our Gold Town Casino. Related to the expansion of our operations, we continue to view our leadership position in distributed gaming as one that is highly scalable in Nevada, Montana and throughout many other jurisdictions. During the quarter, we closed on our first distributed gaming acquisition outside of Nevada and quickly followed it up with another in April with both being in Montana. After the April transaction, we now operate nearly 3,000 gaming devices in Montana across roughly 300 locations, including five Native American properties with contracts that comprised approximately 350 gaming devices. That makes us the second largest operator in the State; and when combined with Nevada, one of the largest distributed gaming operators in the country. Our operations are advantageously positioned across the state. This enables us to deliver our market leading product and services in a fragmented jurisdiction. We have retained key individuals from both acquisitions to ensure an effective management transition and operational continuity. While we expect these acquisitions to be immediately accretive to our earnings per share, there is much work to do and we anticipate investing in our Montana infrastructure over the next couple of quarters in ways that will allow us to continue to drive long-term positive results for our shareholders. And reflecting on the first nine months of Golden Entertainment, we have accomplished a significant number of strategic initiatives. In Nevada, we have successfully opened the first two of six announced taverns with the remaining four scheduled to open throughout the balance of the year. Through our two acquisitions in Montana, we have added 3,000 gaming devices to our distributed gaming segment. In addition we continue to see opportunities in other jurisdictions. For example, in Pennsylvania, we have secured the gaming rights to potential, licensable locations, through a modest investment in a strategic relationship with an established amusement operator. All of this assumes future legislative approval. Finally, we were successful in upsizing our original credit facility at $50 million. Looking forward we remain optimistic. We continue to see substantial embedded growth in our existing operations especially in a same store performance in our tavern business given the strength from the local Las Vegas economy. Among other economic indicator the Las Vegas valley population is at record high and deemed one of the fastest growing metro areas in the nation, not to mention employment is approaching an all time high in the Valley. We continue to see opportunities to expand our market leading business in Southern Nevada. Additionally, we’re confident that with time, we will be successful at building a market leading business in Montana. Our strategy to further steel our expertise is on track and together with our 2,700 team members, we’ve remained focus on delivering value to our shareholders. With that overview, I’ll turn the call over to Matt.
Matt Flandermeyer: Thanks, Blake. To start, let me remind you, that our financial results for the first quarter of last year did not include the results of Sartini Gaming. Sartini Gaming was merged with a subsidiary of the company on July 31, 2015, this financial results were included the game in August 2015. Because of the merger, we believe it is helpful to provide comparisons on an unaudited combined basis, where we include the results of the company with the pre-merger results of the Sartini Gaming for the relevant period. We have provided the information in that press release issued earlier today. Turning to the quarter, net revenues for the three months ended March 31, 2015, were $91 million. An increase of 7.4% compared to the unaudited combined results for the prior year period. Adjusted EBITDA for the current quarter was $10.5 million an increase of 14.5% compared to the unaudited combined EBITDA for the prior year period. Turning to our segments as Blake touched on distributed gaming net revenues for the first quarter increased to 11.2% compared to the combined amount for the same period last year. Distributed gaming adjusted EBITDA was $10.2 million versus a combined $9.2 million for the prior year period in increase of 10.7%, adjusted EBITDA margin of 14.9% was roughly the same as compared to the combined margin for the first quarter of 2015. Distributed gaming revenue was positively impacted by positive same store results at our wholly-owned taverns positive economic trends in the Las Vegas locals market and an extra day due to the leap year. In regards the two recently acquired Montana distributed gaming operations, we entered the market with approximately 16,000 gaming devices and $380 million in gaming revenue. As a result, we currently have approximately 18% of gaming device market share and 15% of gaming revenue share. We believe if there are modest operating synergies to be achieved as we integrate the two acquired distributed gaming businesses. Additionally, we believe there is an upside to the current revenue trends with a modest capital investment and device update plan going forward. Casino net revenues decreased slightly during the first quarter compared to the combined results from the same period last year. Casino adjusted EBITDA for the quarter was $4.8 million compared to $4.1 million for the combined results from a year ago, reflecting better operating efficiency at Rocky Gap and lower cost in Pahrump. Rocky Gap turned in a strong quarter ended by good whether in and Casino and hotel guest count. Keep in mind the first quarter seasonality is typically the softest of the quarters in terms of revenue and EBITDA. As Blake mentioned during his Pahrump discussion, we experienced disruption during the quarter related to the installation of new player tracking and marketing system most notably in February. Through March Nye County continued to present a challenging operating environment, we have adjusted our cost structure accordingly and as a result March EBITDA exceeded prior year. Turning to the NOL, at the end of the quarter, we had $73.3 million of net operating loss carry forwards, which begin to expire in 2032. The net operating loss carry forwards can be applied against our future ordinary taxable income resulting in minimal cash income tax payments over that period assuming no ownership change occurs under Section 382 of the tax code. On the balance sheet, at the end of the first quarter, we had $66.5 million of cash and cash equivalent. Of that amount approximately $23.5 million relates to the proceeds from Jamul Note sale net of related cost. Net proceeds received we distributed a cash dividend to our shareholders, that hold shares as of the record day. We anticipate that the net proceeds we distribute to our shareholders during the summer of 2016. The record date for such dividend will follow the Board of Directors declaration that will be announced at such time. As a reminder the call that under the terms of the merger agreement Sartini Gaming’s former sole shareholder, for itself and any related party transferees of its shares which total approximately 8.0 million shares waived their right to receive such dividend with respect to their shares, except for a potential tax distributions, unless their shares are sold to an unaffiliated third party prior to the record date. Although some additional 0.5 million shares also waived their right, unless their shares are sold to an unaffiliated third party prior to the record date. We’re seeking a private letter ruling from the IRS, we expect that the waiver of rights to receive the distribution will not result in taxable income to these individuals. Once the IRS private letter ruling is received we can move forward with the distribution. Using the current outstanding shares eligible for the distribution of approximately $13.7 million, which excludes the $8.5 shares currently subject to the distribution waiver and approximately $600,000 vested into money stock option was assuming a favorable IRS private letter ruling. We estimate the dividend would be approximately $1.71 per eligible share subject to change. On March 25, 2016 we amended our credit agreement. Under the amendment we increased the term loan by an additional $40 million to $160 million as well as increased the revolver capacity from $40 million to $50 million. We used the proceeds from the term loan to repay our then outstanding borrowings under our revolving credit facility. At quarter-end we had total debt outstanding of $161.6 million including a $157 million outstanding under the term loan and no borrowings on our $50 million revolving credit facility. Subsequent to quarter-end we closed on the second Montana acquisition funding the purchase using $25 million of available borrowings under the revolver. The credit facility matures in July of 2020. As of the end of the quarter the weighted average effective interest rate under our credit agreement was approximately 3.2%. Capital spending for the quarter was approximately $7.4 million, which included approximately $4.5 million of growth capital, approximately $1.5 million of one-time items and approximately $1.4 million of maintenance capital. With that Louisa, please open the line for questions.
Operator: [Operator Instructions] We will take our first question from Jim Devlin with Henley & Company.
Jim Devlin: Hi congratulations guys. Just a couple of questions, we touched on this in the previous call I just wanted with Montana jumping pretty big in the freight here in the quarter with the acquisitions that you’ve made. Can you kind of give us a blend as to the EBITDA is like what’s Southern Nevada– what is Northern Nevada, what is Montana. And then I guess the Rocky Gap in some of the other assets, you are diversifying your EBITDA base I am just trying to get a hand on what’s still meaningful, what’s meaningful moving forward if you could give us some help.
Blake Sartini: Jim, this is Blake. If I understand your question, in regards to Montana’s specific EBITDA, I think today on the call we’ve given some insight in regards to the size of that revenue that we’re generating in that market as a percentage of the overall market. In terms of margin, in Montana we are anticipating operating at a slightly higher margin than we do in Nevada, let’s say, a couple of points, higher. I think we are aluminating in our financial results in a mid-14% range in terms of margin for distributed gaming combined with 15 C2C. I think you can count in Montana on us operating at a little bit higher margin given the structure of the way that business is set up. And obviously for competitive reasons we're not divulging all of the specifics, but I think that gives you enough of an insight to back up the comments that we made both in press releases and on calls that these acquisitions are immediately accretive to our current suite of asset.
Jim Devlin: Okay. I mean like El Dorado just reported up in Northern Nevada. I mean the numbers they reported 40% – 8% of EBITDA in Q1. And they just said a 100% EBITDA up Reno through April. I mean Northern Nevada is on fire right now Elon Musk is basically sold through 500,000 cars, they've got a $5 billion facility that's supposed to bring like close to 10,000 jobs to the area, it's not even baked into the market yet. And last week they announced $1.2 billion potential revitalization construction project up in Reno re-gentrifying the entire downtown. You guys are well positioned in Northern Nevada?
Blake Sartini: Yes. So if you look at Northern Nevada as we define it in terms of our market share up there, if you look at the total number of restricted gaming devices in that region we currently control about 94% percent of the distributed gaming devices in that region. So we're heavily weighted towards a significant market share up there. I’m talking about restricted that does not include obviously all of the unrestricted casinos in another locations that may offer gaming device. But the answer to your question, we’re well established up there and continue to see organic growth in terms of our ability to put out gaming devices in that Northern market.
Jim Devlin: Okay. And then it Southern Nevada, just two more questions I promise I don’t mean to take up too much time. Boyd came out with very strong. They opened their conference call with the strength of the locals market, and Red Rock just went public. And if you read the decks they put out, they are very bullish on the long-term aspects of Southern Nevada. And is total $11 billion worth of construction projects in the pipeline, its growth, growth, growth, right. One of the things that's growing abundantly seems to be millennials on them supports wagering. And I know you have a deal with the William Hill. Do you guys benefit as – they are seeing some very growthy trends in sports wagering in Southern Nevada. Can you comment on that?
Blake Sartini: That’s pretty intuitive question, Jim. In regards to the Las Vegas market, in general we too see to the metrics on a continued kind of an upswing in regards to year-over-year whether it's population growth, unemployment coming down or getting better, building permits, taxable retail sales, record visitor volume through the year, we are seeing those metrics in our business as well. You brought something up in regards to millennials in our tavern in franchise in particular our wholly-owned franchise. If you look at our demographic breakdown of our database which about 70%-plus of our players in those locations are carded players. So we have pretty good insight. We have a millennial crowd that is attracted to our business and there's a lot of reasons for that, but our age excuse a lot younger than I think you would see in traditional gaming operations here in the valley. I think a lot of it has to do with just the environment that that is these people feel comfortable, but you brought something up as well. The William Hill relationship with now 50-plus locations going to 54 in the valley, offers a convenient alternative for people to essentially walk into one of our establishment, make a deposit to an already established account that they may have at William Hill. And PDA is now – are within the state. There are apps available for these millennial to make sports wagers on their iPhones or iPads with within our location. So we have a pretty unique position I think in the valley with the amount of millennials that we cater to in our local business.
Jim Devlin: Yes. I did run through it. It’s like – it’s very growthy business. I know you don't want to give away the secret sauce, but as we see the incremental dollars well through the 50-plus establishments and say your sports wagering hand will come up, it’s profitable growth.
Blake Sartini: Well, we don't. Let me clarify, we don't actually take sports wagers for those kiosks. Those kiosks are there for convenient deposit. So in other words…
Jim Devlin: Okay, okay, okay.
Blake Sartini: Without getting too far in the ways, they have to establish an account at unrestricted book which then will enable them to feed or deposit money into that account through these remote stations. And that's what we provide as their convenience. Once they provide that deposit their app on their phone essentially becomes their betting device. And we've bet is – that relationship by the way is exclusive liquidity in the restricted gaming business.
Jim Devlin: Okay. And then the last question I had was as far as the player tracking databases are concerned I know you guys made an investment in some of the casinos during the quarter or the last few months. As it relates to the player tracking database is that proprietary to the company and can that be rolled out in Montana.
Blake Sartini: Short answer is no, it's not proprietary. Many, many gaming suppliers offer solutions, this one happen to be provided by Konami Gaming which is a pretty standard, not standard, but Konami Gaming offers this product across the gaming spectrum. Montana in particular is – as a state the way the law currently reads, there are some provisions to the same types of rewards programs would see here in Nevada. And so it's not as robust up there. But keep in mind that the economic system in our casinos and the system that we run, the proprietary system we run here in Nevada, and our restricted gaming operations are two separate things.
Jim Devlin: Okay. All right guys, thanks for the clarity and congratulations, and good luck in the future of quarters.
Blake Sartini: Thanks, Jim.
Operator: We'll take our next question from John DeCree with Union Gaming.
John DeCree: Hey guys, thanks for the question. Just wanted to jump back to Montana real quick. Matt, I think you mentioned some opportunity for synergies in Montana. I was wondering if you could elaborate if it's maybe just operating leverage given your scale and expertise or some opportunity to perhaps yield up the machines with some replacement if you could just give a little color as to what kind of opportunities you might see there.
Matt Flandermeyer': Thanks, John. The opportunity I think is still a little bit fresh and we’re still evaluating it at this point in time. But we do believe there will some relatively minor synergies as it relates to operations as the two routes that we did have had some overlap. As well as then we are beginning the process and evaluating the game performance. And selectively, I think as Blake he kind of mentioned deploying some capital and expect that to yield some results.
John DeCree: Got it. Just a hop over to Nevada and EOP bring up the new tavern and target to hit six this year. Obviously, it’s a market that’s relatively under penetrated. When we think about perhaps in the medium turn is maybe six taverns per year is a target or is it is going to be a little bit more sporadic based on what type of deals you can find?
Blake Sartini: At this point John based upon – this is Blake, based upon the foreseeable pipeline, we're building into our program six taverns per year. I think the biggest hurdle right now fortunately is not the opportunities that representing themselves, but from a regulatory standpoint, just how quickly, each of these has to be individually licensed which takes a process that runs through the state, our regulatory bodies. And so as we get well-oiled here with our program, we are gearing up for six taverns a year with really the unforeseen I think variable would be regulatory hiccups that we may or may not be able to see at this time. But I think the pipeline is situated for us to continue to roll about that amount out each year.
John DeCree: Fair enough. That’s helpful. And on the acquisition strategy fits you very similar acquisitions we think about your strategy going forward. Should we look at what you done in Montana so far as kind of your target right now, or would you consider straying perhaps to casino properties or perhaps moving from Montana to another untapped market is there a preferred strategy right now.
Blake Sartini: So preferred strategy, I’ve used this term in the past, we are continuing to see tangible meaning actionable opportunities on the distributed side, both here in Nevada as well as, as we proven down here in the first quarter of the year in Montana I mentioned it in remarks on the call, that Pennsylvania is considering and we have established a position there by securing gaming rights to that become legally in Pennsylvania for a significant number of locations. So – that’s an example as we see it of using our scale and our ability of maneuver in the distributed market to find and apt on opportunities so tangibly we are seeing those here in real time. In regards to casinos, as I mentioned in the past that’s where our D&A really originates and I think you will see us in time, in the right situation at on a casino opportunity regional or otherwise that makes sense for our current portfolio. We are bullish at some point that that will occur.
John DeCree: Great. That’s all for me. Congratulations on the quarter and the acquisitions guys. Thank you.
Blake Sartini: Thanks, John.
Operator: We will take our next question from Roy Berry of Private Investor.
Roy Berry: Okay, I’ve got a question on the small dividend and can you answer or do you want turn it over to someone?
Matt Flandermeyer: We can answer.
Blake Sartini: We can answer, yes.
Roy Berry: Okay. My first question is you got the cheque in December which is above five or six months ago. And five or six months of interest on $23.5 million is several hundred thousand will that be added to the dividend or is that going to Golden Gaming?
Matt Flandermeyer: While we are waiting on at the IRS, really as we mentioned as far as that interest being added to the dividend, I don’t believe this at this point in time but I don’t believe this quite as high as what you’ve mentioned.
Roy Berry: Since that dividend is restricted to certain shareholders shouldn’t there be some type of a dividend situation and interest situation that’s added to the dividend.
Matt Flandermeyer: We will go back and check the documents with the lawyers to make sure we’re doing a further merger agreement and if there is a change we will let you know.
Roy Berry: Okay, the next question is – can’t the dividend be given in to distributions, in other words what about one now, for a smaller amount and then after you get the answer on the constructive dividend, so Mr. Sartini, what about then have a second divided. In other words why are you holding $1 for one dividend when you could distribute over say two dividends or three.
Blake Sartini: That’s a great point, Roy, we are simply following the steps that were prescribed in the merger agreement. So at the time in point I guess that agreement was negotiated, it wasn’t contemplated during the two step process.
Matt Flandermeyer: None of it, can be distributed, Roy, until we get an appropriate IRS ruling as well.
Roy Berry: Yes, but you can – you can definitely distribute a certain from.
Blake Sartini: Ye, I think you’re right, Roy, we could have structured it way for whatever reasons, we are just following the way that is structured at that point of the merger.
Roy Berry: Okay. And that was my question. I thank you for my time and I hope that your Board, committee or whatever they are called can work pretty fast. And that’s all my questions.
Blake Sartini: Thank you, Roy.
Matt Flandermeyer: Thanks, Roy.
Operator: [Operator Instructions] We will take our next question from Howard Rosencrans with Value Advisory.
Howard Rosencrans: Yes, hi guys, thank you. Just trying to understand the second Montana deal that you recently completed – I have some notes here that the economics of deals are typically that the average machines run about $40 to $60 a day and produce $15 a day of EBITDA is that the same general range on the subsequent acquisition.
Matt Flandermeyer: So we provided some – sorry Howard, this is Matt, we provided some guidance in the prepared remarks, I would say you general range is probably common in the market and just depends on location of games.
Howard Rosencrans: Okay. And in terms of multiple of EBITDA which is I assume how you guys buy this, you – would say you bought this on more or less favorable terms than the – based on whatever buyer synergies you envisioned more or less favorable terms when you did the first thousand Montana.
Blake Sartini: I think in total Howard, I would say they are comparable, I would say in the second acquisition. We received more in the way of assets in regards to new gaming equipment, new gaming equipment and inventory that could be deployed across both gaming rounds for upgrades. There was management that was retained to continue on and operate our Montana combined operations. So although the second operation maybe it was more machines it was about 800 more devices than the first.
Howard Rosencrans: Right.
Blake Sartini: But all in all my evaluation is they were comparable in terms of purchase price.
Howard Rosencrans: Comparable in terms of the multiple of EBITDA or you sort of saying…
Blake Sartini: Yes, yes.
Howard Rosencrans: Yes. Okay, thank you.
Blake Sartini: You’re welcome.
Howard Rosencrans: Thank you very much.
Operator: We will take our next question from Greg Nelson of Private Investor.
Greg Nelson: Hi, Blake, I was just wondering I think I mentioned it before about the other conference call there, as I’m with you, are we able to get any big brokerage firms behind us or some sort of a roadshow as far as telling people what we do to kind of get the name off there and get established as far as, they didn’t know who we are and people can take interest in do it. Obviously you can tell the volumes are low but should any brokerage firms that are coming our way there are saying we really have a story here?
Blake Sartini: Yes, we’ve actually made a lot of headway in that regard. ICR, and Jacq and his group are working with us intimately to continue to expose us in our business to potential analyst and coverage. We did receive in the first analyst report has been put out by Union Gaming and it was a first report, it was very detailed. And so the coverage is beginning we anticipate that more will come here in the near-term as we are continuing our call them familiarization trips back to New York and exposing the company.
Greg Nelson: Okay, okay. Great. Well, thanks a lot, Blake.
Blake Sartini: Thank you.
Operator: We will take our next question from Paul Strigler with Esplanade.
Paul Strigler: Hey guys, congrats on the quarter. Just a question about the cap structure looks like after the next Montana deal closes you will have about 184 million of debt looks like the cash if you exclude Jamul is about $43 million sort of how – I know you’ve sort of you’ve extended the term loan and we have some more capacity on the revolver now but how high you prepare to take that with sort of a leverage ratios, before you have to think about maybe either slowing down or rising some equity?
Blake Sartini: So it’s a good question. If you extrapolate the go-forward numbers that we think we can obtain out of Montana. We are not anticipating our leverage ratio to move much one way or the other. So with the additional debt we think there’s going to be enough EBITDA to maintain those. What we think our very attractive ratios. I think the broader question may be would be in terms of size let me rewind, if we continue to find acquisitions that makes sense as we have here in the first quarter regarding valuation we think we will continue to act on those as it makes a lot of sense maintaining our leverage ratios where they are and adding significant EBITDA. Should a larger opportunity come around, or how do we look at the Cap structure from top to bottom. I’ve mentioned in the past we’re not a host to looking at various ways to do larger transactions including a potential of using our stock as current. So I think our commitment is to remain at a leverage ratio that is very good right now. And given what we’re seeing we’re not anticipating to stretch outside of that, should there be a larger acquisition may be we use our stock as currency to continue to maintain those ratios were comfortable.
Paul Strigler: And is there is any restriction on how much stock you could issue just given the dividend that’s to be paid, I know your shares have – they’ll get paid the dividend, but is it likely that if you were to sort of use your stock as currency that would happen sort of after the dividend is distributed or that’s sort of not a factor in your calculus?
Matt Flandermeyer: Thanks for the question this is Matt. As far as the divided we said we anticipate in summer of 2016 typically a lot of the deals that we do if they are – except in Montana requires some form of licensing. So I would anticipate the deals Blake mentioned will reduce stock. We would have to go through licensing side probably outside of the distribution date.
Paul Strigler: Great, perfect. Great guys thank you so much.
Blake Sartini: Thank you.
Operator: We’ll take a question from Jim Devlin with Henley & Co.
Jim Devlin: Yes hi. I just had one question seems good number of the people are pretty heightened by the dividend and it is obviously a juicy and sizable piece of cash to that shareholders, that will be receiving it. I know you guys aren’t or you have some coverage now. But the Russell 2000, which has four trillion dollars tracking it. It rebalances every June and last year the cut off for absolute market cap to be included or up listed was about $173 million of market cap to be included in that index. Your guys market cap at the close is about $280 million. The Russell’s is a little higher this year than it was last year, but it seems clear that you guys have a market cap at this point that would justify you guys through a computer, nothing more than a computer program being added into a pretty broad index. I was wondering it’s still a little early, but you’ll start seeing like these quantitative and I’ll list those shops there’s one year and that you have called ConvergEx and they put out a – they pretty screen at the Russell and it’s definitely a positive and Blake is a shareholder I’m sure you’ll monitor to that? But I wondering if you guys had gotten any calls from the quantitative analysis type shops or have you heard anything from the Russell people?
Matt Flandermeyer: Jim this is Matt. So it’s pretty early still and we are aware. That what all we can say at this point right now, but we’ll stay on top of it.
Blake Sartini: We foresee that and obviously we will continue to monitor that.
Jim Devlin: It had a very good impact last year on the El Dorado resorts if you want to look at something for a precursor. So hopefully we got that look forward to. Again that’s for your time.
Blake Sartini: Thank you.
Operator: We’ll take a question from Howard Rosencrans with Value Advisory.
Howard Rosencrans: Yes hi. Quick follow-up, I just want to make sure your borrowings last year were at about 3%, you were borrowing on the same line for this Montana acquisition?
Matt Flandermeyer: Howard thanks for the question this is Matt. Yes we basically upsized our line and we’re borrowing at the same rates, we’re currently in the El plus 275 range.
Howard Rosencrans: Okay and I have note here in my notes that it was about $8 million that we were looking at in CapEx, what’s the incremental CapEx associated with this new Montana deal?
Matt Flandermeyer: The incremental growth CapEx mainly is associated with our building out these six additional taverns and acquiring new road opportunity outside of Montana.
Howard Rosencrans: Okay so there’s – I don’t know may be so then record the beginning of the first part of the call…
Blake Sartini: Yes so Howard….
Howard Rosencrans: So you have this six – so what do think CapEx is for this year?
Matt Flandermeyer: We’ve kind of given guidance, maintenance CapEx somewhere between $5 million and $6 million. Excluding the acquisitions in Montana you’re probably looking at anywhere from $8 million to $10 million of growth CapEx and a couple of million of one time.
Howard Rosencrans: I’m sorry so it’s $5 million to $6 million of maintenance CapEx and it’s $8 million to $10 million on top of that. Is it growth CapEx and that includes Montana?
Matt Flandermeyer: That excludes Montana.
Howard Rosencrans: That excludes Montana. Okay, so how much is incremental for Montana?
Matt Flandermeyer: So the first deal we had closed was $20.3 million purchase price…
Howard Rosencrans: I know the gross amounts of the deal, I’m just wondering if there’s incremental CapEx associated with it not the acquisition?
Matt Flandermeyer: We are currently putting that plan together. At this point it’s not significantly material, Howard, although.
Howard Rosencrans: Okay.
Matt Flandermeyer: We do anticipate some machine upgrades and equipment upgrades going forward. We will have a pretty solid number for you on the next call.
Howard Rosencrans: Okay. But in terms of maintenance CapEx all end I’m trying to circle again next call, but in terms of maintenance CapEx all in do we say $10 million now including the two Montana acquisitions?
Matt Flandermeyer: So if it’s $6 million on the current maintenance Cap run rate, look don’t hold me to this, there’s probably another $1 million past.
Howard Rosencrans: Okay that includes both Montana acquisitions…
Matt Flandermeyer: Yes.
Howard Rosencrans: As far as I understand. Okay thank you very much.
Matt Flandermeyer: You’re welcome.
Operator: That does conclude today’s question-and-answer session at this time I’ll turn the conference back Blake Sartini, CEO for any additional or closing remarks.
Blake Sartini: Thank you Melissa. Thank you all for joining us this afternoon. We look forward to updating everyone on our progress as we report our second quarter results on the next call. Thank you.
Operator: That concludes today’s conference and thank you for your participation.